Operator: Hello and welcome to the LyondellBasell Teleconference. At the request of LyondellBasell this conference is being recorded for instant replay purposes. Following today's presentation we will conduct a question-and-answer session. I will now turn the conference over to Mr. Doug Pike, Vice President-Investor Relations. Sir, you may now begin.
Douglas J. Pike - Vice President, Investor Relations: Thank you, Mizelle. Well hello and welcome to LyondellBasell's second quarter 2015 teleconference. And I'm joined today by Bob Patel, our CEO, and Sergey Vasnetsov, our Senior Vice President of Strategic Planning & Transactions. But before we begin the business discussion, I'd like to point out that a slide presentation accompanies today's call and is available on our website at www.lyb.com. I'd also like for you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements. And these forward-looking statements are based upon assumptions of management, which are believed to be reasonable at the time made and are subject to significant risks and uncertainties. And actual results could differ materially from those forward-looking statements. Now for more detailed information about the factors that could cause our actual results to differ materially, please refer to the cautionary statements in the presentation slides and our financial reports, which are available at www.lyb.com/investorrelations. And reconciliations of non-GAAP financial measures to GAAP financial measures, together with any other applicable disclosures, including the earnings release, are currently available on our website at www.lyb.com. Now finally, I'd like to point out that a recording of this call will be available by telephone beginning at 2 PM Eastern Time today until 11 PM Eastern Time on August 28 by calling 888-568-0061 in the United States and 203-369-3454 outside of the United States. And the passcode for both numbers is 62324. Now during today's call we'll focus on second quarter results, the current business environment, and the near-term outlook. But before turning the call over to Bob, I' would again like to call your attention to the non-cash, lower cost or market inventory adjustment, or LCM, that we've been discussing on past calls. As previously explained this charge is somewhat unique to our 2010 company formation, when all assets and liabilities were measured at fair value, our use of LIFO accounting, and the recent volatility in prices for many of our raw materials and finished goods inventories. Our LCM adjustments have been updated for the second quarter, which for some segments resulted in reversals of some or all of the first quarter charges. And for the second quarter a $9 million favorable lower cost of market inventory adjustment was recorded. Our comments made on this call will be in regard to our underlying business results, excluding the impacts of LCM inventory charges. And with that being said I now turn the call over to Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Thanks, Doug. Good morning, everyone. And thank you for joining our earnings call. Let's take a look at slide 4, and review a few financial highlights. Second quarter earnings per share was $2.79 with EBITDA of $2.2 billion. This quarterly diluted EPS figure is another new all-time high for LyondellBasell. And as represented by the orange lines in the lower left chart, our EBITDA has now averaged approximately $2 billion in each of the last five quarters. During the second quarter we completed our second 10% share repurchase authorization and received approval from our shareholders for a third 10% authorization. We also increased our dividend by 11% during the quarter. Our commitment to return cash to shareholders remains consistent. Turning to slide number 5 you will see that we continue to have an excellent and improving safety record. While these results demonstrate incremental improvement, we're always looking to attain our goal of zero incidents. To this end during June all employees of LyondellBasell participated in our Fifth Annual Global Safety Day. This is a day where we refocus the entire company, our contractors, and suppliers on our commitment to operate with zero injuries and pursue the safety perfection. We continue to believe that focus on safety and reliable operations go hand-in-hand. Before leaving the topic of safety I would like to address the fire that broke out at our Berre, France, site on July 14. We were fortunate to have no injuries and to quickly account for all personnel. The fire was limited to two remote storage tanks. And our assets at Berre continue to run. We're in the process of revaluating the financial losses sustained. Current estimates are in the range of $20 million to $30 million. We're working closely with local authorities to ensure that residents in the area have access to available information. The French authorities have opened a criminal investigation, and we therefore are not in a position to make additional comments. Please turn to slide 6 for our second quarter and last 12 months' EBITDA results. EBITDA in our Olefins & Polyolefins Americas segment was again near $1 billion. EBITDA in our Olefins and Polyolefins EAI segment was $492 million, a new all-time record. Our Intermediates & Derivatives segment also achieved record results, excluding LCM impacts, with EBITDA of $483 million. We saw typical seasonal increases in our oxyfuels business with large butane cost declines, the return of methanol production at Channelview following first quarter maintenance, and strengthened styrene business. Refining was stable quarter-on-quarter. And the Technology segment results declined by approximately $20 million. During the last 12 months LyondellBasell has generated EBITDA of $8.4 billion, with strong, strong results across all segments. This profitability has been achieved despite a volatile crude oil price environment and is a testament to our portfolio's resilience and stability. Please turn to slides 7 and 8, and I will discuss our cash generation and use. During the second quarter our cash and liquid investments balance increased by approximately $200 million. Cash from operations continued to be very strong, as we generated $1.5 billion from our operations during the period. Cash used for share repurchase and dividends totaled $1.1 billion during the quarter, and capital spending totaled $278 million. We anticipate capital spending of $1.5 billion for the full year. Share repurchases during the second quarter of approximately 8 million shares were somewhat below prior quarters. The number of shares purchased was impacted by an 18% increase in share price during the quarter and by the transition between the completion of the second and the start of the third repurchase authorization. During the past 12 months we generated $6.5 billion in cash from operations, while raising $1 billion from bond issuances and $500 million from commercial paper. Almost $6.3 billion was used for share repurchases and dividends. We invested another $1.3 billion in capital expenditures. Please turn to slide 9, which highlights the magnitude of our free cash flow and the dollars that we have committed to dividends and share repurchases as a percentage of enterprise value as of March 31. As you can see in a little more than four years we have generated approximately 30% of our enterprise value in free cash flow. And distributed this plus an additional 5% to shareholders. On a dollar basis the corresponding free cash flow was $14.5 billion. And accumulative dividends and share repurchases totaled $17.3 billion. By any measure, absolute or relative, these metrics exceed our peers. Please turn to slide 10, and I'll move to a deeper discussion of the underlying segment results. Olefins & Polyolefins Americas second quarter EBITDA was $993 million or $81 million lower than the first quarter. This result marks the fifth consecutive quarter with EBITDA at or near $1 billion. Olefins results declined by $105 million, as margins were adversely impacted by lower coal product prices and higher heavy liquid raw material costs. For example propylene prices declined $0.07 per pound during the quarter. The contribution from our metathesis unit declined by approximately $11 million. During the quarter we had some minor planned and unplanned rate reductions at two Olefins plants. Overall we estimate that this downtime impacted quarterly EBITDA by $30 million. Despite these rate reductions our U.S. Olefins plants ran at approximately 95% of capacity during the quarter. Approximately 90% of our ethylene was produced from NGLs with ethane representing approximately 70% of ethylene production during the quarter. Our propane and butane cracking was fairly consistent quarter-on-quarter. And our ability to process additional volumes was limited by logistics and in-plant processing optimization. During July we implemented logistics changes, which will enable us to increase propane cracking to the levels discussed at Investor Day in April. While Olefins results declined sequentially, Polyolefin results improved by approximately $25 million during the quarter, primarily from increased sales volumes. Polyethylene volume increased approximately 6%, and polypropylene volumes improved 11%. During the quarter we increased polyethylene prices and ended the quarter approximately $0.04 above the March price. Despite this increase the quarterly average price spread over ethylene was relatively constant. Thus far during the first weeks of July, sales and production volumes have been relatively consistent with the end of the second quarter. And NGL and natural gas costs remain low with abundant inventories. During mid-July we began initial production at our 250 million pound per year Channelview ethylene expansion. We don't have any significant maintenance planned during the third quarter. Please turn to slide 11 and a review of Olefins & Polyolefins Europe, Asia, and International. Second quarter EBITDA was $492 million, a new quarterly record, and $135 million higher than the first quarter. Olefin results improved by approximately $80 million. During the quarter industry outages were prevalent, peaking in June when nearly 15% of European capacity was unavailable. We capitalized on this, operating our assets at 97% of capacity. This tight industry supply and demand balance contributed to margin improvement from the first quarter of nearly $0.07 per pound, more than offsetting a rising cost of naphtha. During the quarter we produced nearly 60% of our ethylene from advantaged raw materials, which added approximately $50 million to EBITDA. Combined Polyolefins EBITDA improved by approximately $65 million. Restricted monomer supply and low customer inventories helped to support margins in both our polyethylene and polypropylene businesses. Polyethylene spreads over monomer increased by $0.06 per pound versus the first quarter, and polypropylene spreads were higher by $0.02 per pound. Volumes in polyethylene and polypropylene both declined versus very strong first quarter sales. Polypropylene compound results were lower by approximately $15 million, as margins were compressed by increased polypropylene costs. JV equity income improved $22 million with several of our polyolefin JVs reflecting similar margin improvement trends as our European businesses. July business conditions remain favorable. However the majority of the unplanned industry outages are resolved, and this should alleviate some of the regional product shortages. During September and October we will be taking a planned maintenance outage at our Munchsmunster olefins plant in Germany. Based on current margins we expect this to impact EBITDA by approximately $25 million, spread evenly over the third and fourth quarters. Please turn to slides 12 and 13 for a presentation of regional ethylene industry operating rates. During our recent Investor Day we presented slide 12 with our views on the global ethylene supply/demand balance and operating rates. At the time we expressed a view that industry operating rates were in a transition zone between a balanced and tight market. Second quarter proved this and supports a view that the market may be tighter than depicted, as industry operations have experienced more downtime than the basis for the chart. On slide 13 we're going to take a minute to take the analysis one step deeper by looking at regional operating rates. This slide represents IHS's view on capacity and operating rates in key regions. Based on their respective cost advantages it's reasonable to assume that North American and Middle East regions have been operating at or near their full capacity. During late 2013 and into the first half of 2015 Asia also began to experience increased local margins and effective operating rates. Second quarter turnaround schedule clearly pushed Asia into a tight supply situation, as margins expanded. As we said at our Investor Day we believe that when nameplate capacities approach 90% and effective capacities average in the mid-90% range, the industry typically begins to have pricing power. The European chart on the right implies that Europe operated below these thresholds during 2013 and 2014. However the chart suggests that European operating rates have been increasing and reached levels that were approximately 5% below these thresholds during 2014 and pushing the thresholds during the first half of 2015. Some of this can be attributed to unplanned downtime. If we step back and consider the pie chart of capacity together with regional rates, could paint the picture that most of the spare global capacity is in Europe. European capacity represents approximately 15% of total global capacity. So with utilization rates in Europe approximately 5% lower than the 90% threshold, European spare capacity represents just 1% to 2% of spare global capacity. We seem to be approaching or have already reached a tipping point for product availability and margins. Industry operations and economic activity will determine how this develops over the coming quarters. Now please turn to slide 14 for a discussion of our Intermediates & Derivatives segment. Exclusive of the LCM impacts second quarter EBITDA was a record $483 million, $102 million higher than the first quarter. Propylene oxide and derivative results were lower by approximately $20 million and volume declined by 14%. Sales during the first quarter benefited from seasonal aircraft deicer demand and competitor outages. Q2 volumes were consistent with historic averages. Intermediate chemicals performance improved by approximately $55 million. Styrene improved approximately $20 million, as variable margins increased by approximately $0.05 per pound. Volume was lower, as we took planned maintenance at our POSM II facility in Channelview. We estimate that this maintenance impacted second quarter results by approximately $15 million. Acetyl results improved by approximately $30 million, due to higher sales volumes following the first quarter Channelview methanol plant maintenance. The team at our Channelview site have had a very busy and productive first half. They've completed maintenance at our methanol plant, which now runs at benchmark rates. And they also completed a very large and complex POSM turnaround with no safety incidents. We're proud to report that both were done on time and on budget. I wanted to make special mention of this outstanding performance. Oxyfuels results increased by approximately $65 million in Q2 primarily from a typical seasonal margin uplift. Higher demand for octane, rising gasoline prices, and a lower cost of butane drove the majority of the upside. In the lower-right chart you can see the improvement in the industry MTBE raw material margins. July business conditions have generally been similar to conditions experienced late in the second quarter. We will conduct maintenance turnarounds at our La Porte acetyls plant and our French PO/TBA plant beginning late in the quarter. This maintenance will impact the production of propylene oxide, oxyfuels, methanol, vinyl acetate monomer, and acetic acid. We estimate that the total impact of these maintenance activities will negatively impact third quarter EBITDA by approximately $30 million. The fourth quarter impact is currently estimated to be approximately $20 million. Let's move to slide 15 for a discussion of the Refining segment. Second quarter EBTDA was $154 million. Excluding LCM impacts results are unchanged from the prior quarter. During the second quarter the Maya 2-1-1 spread averaged nearly $24 per barrel. The realized spread at our refinery was moderately higher than the Maya 2-1-1 spread. Crude throughput averaged 255,000 barrels per day, an increase of 14,000 barrels per day. The higher throughput results – the higher throughout improved results by approximately $20 million. The volume upside was somewhat dampened by lower secondary product spreads, driven by higher crude oil pricing, RIN costs were lower by approximately $4 million versus the first quarter. Canadian crude oil and light U.S. crude oil were approximately 30% of our crude slate. Our Technology segment generated EBITDA of $57 million during the quarter, a decrease of nearly $20 million. This was the result of lower catalyst volumes from a very strong first quarter level and reduced licensing earnings. Due to the nature and timing of delivery of services under our licensing agreements, it's not uncommon for our earnings in this segment to be variable from quarter to quarter. Q2 results are consistent with the results seen in prior years. Please turn to slide 16. I will briefly summarize, and then I would be happy to take your questions. As I emphasized during April our portfolio has proven to be resilient and providing earnings consistent – consistent earnings despite market volatility. The strength of our results now spans five quarters with EBITDA at or near $2 billion. Second quarter was a record, both in terms of diluted earnings per share and EBITDA. While ethylene industry conditions were favorable during the second quarter with high global supply/demand, supply is returning to market, yet oil prices have been volatile. Thus far demand and margins have been minimally impacted. Our focus remains unchanged. And differential operating performance has been our hallmark, allowing us to capture value every day and especially when markets enter periods of constrained supply. O&P EAI's second quarter performance demonstrates this capability. Additionally natural gas and NGLs remain abundant and prices remain favorable in the U.S. Overall industry conditions remain favorable. Lastly, our project teams continue to work on the future of LyondellBasell. We're moving forward with our expansions. And we have – we will have added more than 1 billion pounds to our ethylene capacity over the last 12 months. Additionally we will continue to progress the balance of our projects that will grow the footprint of LyondellBasell and further strengthen our position for the long term. I would now be pleased to take your questions.
Operator: Thank you. And our first question comes from the line, Mr. Arun Viswanathan of RBC. Sir, your line is now open.
Arun S. Viswanathan - RBC Capital Markets LLC: Yeah. Thanks guys. Congratulations on another good quarter. I guess I wanted to just understand your comments a little bit more. Can you describe the environment you're seeing on the demand side both in North America and in Europe and in Asia in polyethylene, as well as ethylene?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Sure. I mean at this point we still see demand as being relatively strong. Arun, as you know when we have periods of macro volatility, oil price going up or down, it does impact sentiment. And so there are many inventory cycles that we see throughout the year. But if you step back from that demand has grown through the first half year over year in polyolefins globally in the 3% to 4% range. And the U.S. demand growth has been quite strong as has Asia. Europe I would argue has been constrained in Q2 because of less supply. So we're generally constructive on demand for the remainder of the year.
Arun S. Viswanathan - RBC Capital Markets LLC: Okay. Thanks. And then I guess similarly on the supply side I mean you have some comments that conditions are getting little bit more balanced. What do you expect for the back half of the year on the supply side? I know you guys have some turnarounds. But from what I see it looks like there's a number of planned turnarounds in other parts in some of your competitors. Do you expect supply and demand to again tighten up in the back half of the year? What are you guys looking at there? Thanks.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well we expect that markets will be balanced in the second half. And it's difficult to forecast unplanned outages by definition. So my sense is that unplanned outages would create more tightness. So our focus is – continues to be on running our plants reliably and being commercially agile. So we're constructive for the second half.
Arun S. Viswanathan - RBC Capital Markets LLC: And just as a follow-up there is a price increase in polyethylene right now. Do you have any thoughts on whether that could be implemented? And why do you feel that way?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well we continue to monitor and discuss with our customers this $0.05 increase. And we'll just see how it plays out in the coming weeks.
Arun S. Viswanathan - RBC Capital Markets LLC: Okay. Thanks.
Operator: Thank you. And our next question comes from the line, Mr. Bob Koort of Goldman Sachs. Sir, your line is now open.
Robert Andrew Koort - Goldman Sachs & Co.: Thanks very much. Bob, I was just curious. Obviously you've got an impressive track record of cash flow generation and capital return. You've got a couple more projects on the horizon. But you gave a pretty confident appraisal of the upcycle here for several more years to come. At some point do you take advantage of some of these wounded peer commodity companies and broaden the portfolio? Are you on a perpetual 10% a year share reduction? What do you see as the path forward here if you keep earning at such high cash flow levels?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well as I had mentioned during our last call, Bob, we continue to develop our strategy and sharpen our thinking around the long-term plan for LyondellBasell. In the short term we continue to stay focused on delivering value to shareholders via our regular dividend as well as our share repurchase program. Our balance sheet is very strong. And so we'll continue to evaluate opportunities. In the meantime we're making an acquisition every day. We're buying our shares. And it's an acquisition that we're making at market price, and it's a company we know quite well.
Robert Andrew Koort - Goldman Sachs & Co.: Fair enough. And then on your cracking opportunity you talked a little bit about propane cracking. Do you sense an ongoing shift towards greater flexibility? Or do you expect maybe NGL prices will be fairly correlated amongst each other? So there's only short term opportunities there. And then lastly is the metathesis unit running currently? Thank you.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: So in the case of the NGL prices I happen to believe over the long run that they do tend to kind of equilibrate. In the case of propane certainly near term there's a lot of supply. Prices are depressed. We're going to increase propane cracking in the third quarter. We've implemented some pipeline improvements to be able to do that. Longer term, as we've discussed in prior calls, propane can be exported. There will be new PDH capacity coming. So my sense is that propane and ethane values will equilibrate and will compete to be part of the cracker feed slate.
Robert Andrew Koort - Goldman Sachs & Co.: And sorry. Is your metathesis unit running now?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: It's running, but not at full rates.
Robert Andrew Koort - Goldman Sachs & Co.: Got it. Thank you very much.
Operator: Thank you. And our next question comes from the line of Mr. Vincent Andrews of Morgan Stanley. Sir, your line is now open.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thanks very much. Bob, just kind of following up on some of your comments about where the industry operating rates are and outages. You guys have had a fantastic record vis-à-vis others, who've had all the outages. And I'm just wondering what your thoughts are on sort of – do you think we're having the outages because the industry is running really hard? Or do you think we're having the outages because of the – much of the asset base is old and may have been underinvested in for a long time? And I guess the bunch of my question is, is do you think the sort of pace of unplanned outages – and I get it by definition they're hard to predict – but do you think it's more likely that we continue at this pace going forward? Or do you think now that we've had all these outages and presumably a catch-up in maintenance work and so forth that the asset base might be more reliable over the next 12 months to 18 months? Speaking industry wide.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Yeah, right. Thanks for the question, Vincent. When you think about Europe, the last two years, three years have been very difficult years. And it was not really a call on all of the capacity for most of the industry. Now we've been running more differentially in terms of operating rates over there. My sense is that since reliability was not at a premium, perhaps some of the maintenance were delayed. And so as demand became stronger this year with the weaker euro and some infrastructure spending coming back in Europe, the units didn't respond to the higher call on demand. So will that continue? Difficult to say. But my sense is that the units in Europe especially probably weren't prepared to run at very high rates. In our case – as you know I was over there for a few years, and we maintained our assets to run at full rates. And in fact we did run at full rates for the past two years. So difficult to predict whether the industry will catch up, or how this will evolve in the next 6 months to 12 months. But I can tell you at the company here, our focus continues on reliable safe operations. And we look – we start everyday; it sounds like yesterday, but how we perform today and tomorrow.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. And just as a follow-up, maybe it's more of a clarification question. I thought I heard in your prepared remarks when you discussed the share repurchases in the quarter, obviously you built cash, but that you sort of – I think you're indicating that the only reason why the share repurchase has sort of slowed down sequentially was because there was a gap in time between the completion of the prior authorization and the grant of the new one. Is that the right read of what you said?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: When you think about our share repurchase program, first of all from an execution standpoint we execute on a dollar basis. And so if you go back to Q1, because the share price was lower we bought back a lot more shares on a dollar-based program, which is what we do with our 10b5 plans. In Q2 we had the transition from the old plan to the new plan, as well as the share price was higher, so we bought back fewer shares. If you step back from the tactics, our focus and our pace has not really changed on share repurchase. It's more a just transitory and share price related.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much.
Operator: Thank you. And our next question comes from the line of Mr. Duffy Fischer of Barclays. Sir, your line is now open.
Patrick Duffy Fischer - Barclays Capital, Inc.: Yes. Good morning guys. Question on leadership. One, I was hoping you could kind of update us on the timeline for your CFO search. And then, two, with changeover in I&D and kind of missing a CFO, how confident do you feel or the management team in the near term to kind of get done what you need to do?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, Duffy. In the case of the CFO we're advancing very well on this front. I can tell you it's a very high priority for the company and high priority for me personally. So we hope to report some news on that over the coming weeks or months. And in the case of I&D we have – well look, we have a lot of talent in the company. We have a lot of people that know the business well. We've appointed someone to run the I&D business under the new EVP. This gentlemen who's running I&D has been with the company for 23 years and have a lot of institutional knowledge. So and that generally goes for all management positions. We have a lot of good institutional knowledge in the company that provides great continuity.
Patrick Duffy Fischer - Barclays Capital, Inc.: And then just another one on all the turnaround stuff activity you had going on, whether it was Channelview or the methanol (34:56). A lot of weather issues in Texas in that area. Other companies were having significant delays, some were seeing cost overruns. You talked about not seeing that. Was that just because you got lucky, and weather didn't impact your direct sites? Or were you just able to overcome that?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: No. I think we were impacted by the same weather in Houston. Unfortunately we haven't found a way to build a bubble over Channelview. So I would say that it's really about execution. I think our team at Channelview planned really well for both outages, and they executed the plan. In fact I have asked them to reconstruct how they did that. And that should become the new model in the company. So I think it's great planning and great execution.
Patrick Duffy Fischer - Barclays Capital, Inc.: Terrific. Thanks guys.
Operator: Thank you. And our next question comes from the line of Mr. Hassan Ahmed of Alembic Global. Sir, your line is now open.
Hassan I. Ahmed - Alembic Global Advisors LLC: Thank you. Morning, Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning.
Hassan I. Ahmed - Alembic Global Advisors LLC: Bob, a question around volumes and inventories. As I take a look at both O&P Americas as well as O&P EAI, there seem to be fairly divergent volume moves sequentially. Right? I mean 6% polyethylene, sequential move up in O&P Americas, 11% for polypropylene. And the converse for O&P EAI, down 11% in polyethylene, down 16% in polypropylene. So just, A, if you could sort of comment on these divergent moves? And, B, just if you could tell us how much of this is restocking/destocking related?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: I think most of it is inventory cycle. So if you think about Europe, in Q4 of 2014 there was a very significant inventory depletion going on. And you recall at that time the oil price was dropping. Right? So there was an expectation that the price next week would be lower. And so that's a period when converters tend to deplete inventory. And European converters likely ended with very, very low inventories. As the oil price bottomed and the expectation for price moved from decrease to increase, there was a fairly significant restocking that occurred in Q1, which probably overstated volumes in Q1. And in Q2 in Europe, because of all the unplanned outages, I think some of the demand was probably just constrained due to the lack of supply. So that's why I said earlier, if you just step back from the inventory cycles and look at year-over-year growth, it's fairly consistent across the world. And in the case of Europe polypropylene demand is up about 5% and polyethylene is about 1% year over year. In the case of the U.S. volume is up in Q2 just from seasonal factors. I don't think we had as much of an inventory cycle through year-end 2014 into 2015. Volumes are up as we've gone through the year in 2015 because of seasonality.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very fair. Now changing gears a bit. I mean you commented a bit earlier on the M&A side of things. Obviously your strategy is very clearly laid out, i.e., the back to basics strategy, whereby if you were to grow it would be within sort of commodity chemicals, and that too I would imagine the low cost side of things. Now in a hypothetical world that in which you were to go out and acquire someone. In terms of the product profile of that company would it have to be a product that you're already in? Or could it be a commodity chemical product, call it chlor-alkali, that you currently don't have a presence in, but you could go out and buy sort of relatively cheap, low cost of production assets? Would that be something you would consider?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well when we think about our strategy and growth going forward, our focus is on our core businesses, and so a large scale commodity integration. But I'll tell you, Hassan, the question that I ask is, whatever it is we would consider acquiring, how is it that we would make those assets better than the current owner in addition to the strategic fit and so on? So those are some of the filters that we use. And we have a certain capability in terms of how we operate and manage our costs. And to the extent that we can apply our model and create unique value with somebody else's assets, then we would consider those things.
Hassan I. Ahmed - Alembic Global Advisors LLC: Super. Thanks so much, Bob.
Operator: Thank you. And our next question comes from the line of Mr. P.J. Juvekar with Citi. Sir, your line is now open.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yes. Thank you. Good morning, Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, P.J.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Propane prices really collapsed during this quarter. And I understand that ships that carry propane, the deliveries have been delayed. But as those ships get delivered maybe next year, do you see propane prices moving up as we move into 2016?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: So again our view is longer term that ethane and propane will reach more parity on a cost of ethylene basis. We're positioned to take advantage of cheaper propane. But if you think about our cracking capability, we have flexibility to crack a wide range of feedstocks. And that's what we aim for.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Okay. Thank you. And then if you look at Asian naphtha crack spreads, they are down significantly from the peak, as oil prices have come down. And so you do you think Asian margins will be just a function of oil prices going forward? And then do you have any view on the recently started MTO plants in the region? Thank you.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: I think Asian margins, if you were asking about polyolefins, they're going to depend as much on supply/demand globally as they will on naphtha prices. And again our sense is that demand growth based on what we see in the first half of the year is solid. And it points to global balance to tight markets in Olefins & Polyolefins. And as far as the new MTO capacity, certainly that adds a little bit more self-sufficiency in the region. But we expect Asia and specifically China to still be a very large importer of polyolefins and specifically polyethylene.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Thank you. And our next question comes from the line of Mr. David Begleiter of Deutsche Bank. Sir, your line is now open.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thank you. Good morning, Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, David.
David I. Begleiter - Deutsche Bank Securities, Inc.: Hey, Bob, in polyethylene for the U.S. do you think the next price move is more likely up or down? And why?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well I think that depends on how demand develops here and the rate of unplanned outages and so on. But there's a few things that I can tell you. There's not a lot of inventory in the chain. And our sense is that economic conditions are pretty good in the U.S. So the magnitude and timing just depends on how the market conditions play out.
David I. Begleiter - Deutsche Bank Securities, Inc.: Understood. And just on I&D, Bob, very strong quarter. Obviously some seasonality with oxys. But how much of this strength is sustainable you think into the back half of the year in I&D, ex the normal seasonal decline in oxyfuels?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well oxyfuels should still be pretty strong through the summer. As you know that's driven a lot by gasoline blending and gasoline season. So we've still got another month or two months. And to the extent that butanes remain as cheap as they are, that adds extra boost to oxyfuel earnings. If you step back more broadly and look at supply/demand for octane, octane is pretty tight. And so that favors our oxyfuel business. So we think cheap butane, tight octane market favors oxyfuels over the long run.
David I. Begleiter - Deutsche Bank Securities, Inc.: And the rest of I&D?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Rest of I&D should be relatively stable. Styrene monomer has been doing pretty well. Our sense is that that strength in the near term should continue. David, I think the styrene business in general is really a proxy for the nature of our business. It has been underinvested for so long that the demand is finally catching up with supply. And you see more balance between supply and demand in styrene. So I expect consistency in the rest of the business through the year.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thank you. And our next question comes from the line of Mr. Alex Yefremov of Nomura. Your line is now open.
Aleksey Yefremov - Nomura Securities International, Inc.: Good morning everyone. Could you quantify the benefit of additional propane flexibility that you're planning to gain in the next quarter? Maybe in terms of percentage of ethylene produced from propane? And also maybe longer term do you have interest in investing more heavily into propane cracking? Maybe to meaningfully increase your propane ability to benefit through the cycle?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, Alex. In the case of our recent increase in propane cracking we have the ability to crack enough propane to produce 5% more of our ethylene from propane, as a result of the latest changes that we've made. Your second question about investing heavily to crack more propane. Again our sense is that NGL values will tend to equilibrate over time. And so we're going to continue to look for inexpensive high return quick projects that allow us to crack more propane. But I don't see us structurally shifting our portfolio for feedstocks focusing only on propane. We want to focus on cracking more NGLs and have the agility to be able to move from one NGL to another depending on the economics, so that we can capture the arbitrage quickly. And that has a lot to do with logistics and having the dedicated pipelines to be able to do that.
Aleksey Yefremov - Nomura Securities International, Inc.: Got it. Thank you. And next question on ethylene derivatives, could you update us on your thinking on the tradeoffs between various derivatives, such as metathesis, polyethylene? And are there any options for you to explore the current ethylene monomer discount that's present in the U.S.?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well we continue to develop our projects on ethylene derivatives. We're very constructive on polyethylene long term. We think given the U.S. cost advantage on NGLs vis-à-vis the rest of the world, the cost of ethylene and polyethylene production should be very advantaged in the U.S. We see good demand growth. So to that extent we're advancing a couple of polyethylene expansion projects, one of which will employ our new technology, which will have capability to produce differentiated products. So we're advancing those projects very rapidly. We're continuing to study our – an expansion of our flex unit, which produces propylene from ethane. So all of those are still continuing. But I can tell you it's with an eye towards end markets, not just about consuming the ethylene that we're producing.
Aleksey Yefremov - Nomura Securities International, Inc.: Thank you, Bob.
Operator: Thank you. And our next question comes from the line, Mr. Frank Mitsch of Wells Fargo Securities. Sir, your line is now open.
Frank J. Mitsch - Wells Fargo Securities LLC: Yes. Good morning and impressive results as usual. Bob, I was struck by your commentary on styrene just now. I guess there had been a thought that with some of the restarts happening in Europe that it might start to cycle down. But you're not really seeing that much weakening in that? Nor are you really expecting too much weakening for the back half of the year in that area?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: So I think, Frank, on styrene it just depends on how the unplanned outages play out. Right. So if there are further unplanned outages that could have an impact – I know the one POSM unit in the Netherlands will start up here in Q3. So my sense is that I don't think that's enough to tip the global supply/demand balance on the increment. Certainly more supply is coming.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. That's very helpful. And if I could come back to Refining, just to get a little more granularity. Volumes are up nicely sequentially. Your RINs costs were down sequentially. Margins seem to be up a bit, although you did reference secondary product price spreads. How significant was that? And what exactly is that?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well the secondary product prices, that's what we call our capture rate. And that's essentially the value of the co-products compared to the cost of the barrel coming in. So you can imagine if co-product values are relatively stable and oil price comes down, then the value of that co-product as a percent of the oil price rises. And so our capture rate rises. And so that in a lower oil price environment helps us. Sorry. Your second question was?
Frank J. Mitsch - Wells Fargo Securities LLC: Well no. It was just – so that was the one offset I think to some of the positives in terms of volumes, margins, and lower rates (49:10).
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Right, right. So if you – correct, correct.
Frank J. Mitsch - Wells Fargo Securities LLC: Okay. All right. Thank you so much.
Operator: Thank you. And our next question comes from the line of Mr. John Roberts of UBS. Sir, your line is now open.
John E. Roberts - UBS Securities LLC: Good morning. Given the pretty good naphtha based ethylene margins in Europe, as those plants have been down for unplanned outages are people investing in better reliability? Or are they just putting Band-Aids on the plants and restarting them?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: So it's difficult to say. But as you can imagine the pressure to restart those is pretty high, given the margin environment. So we'll just have to see how the industry operates going forward. And difficult for me to forecast that.
John E. Roberts - UBS Securities LLC: Well maybe a different question. With the relatively good margins now over there, do you think we're far away from people starting to put some real investment back into some of the facilities?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: It's possible. But you have to remember that investment in crackers takes a long time to realize, even if it is maintenance of existing crackers. Because if it's – if they have to order long lead equipment, it takes months, maybe a year to get some of the equipment in. And then they have to take a fairly substantial outage. So I suspect that if that were to happen structurally, we wouldn't see a shift until next year some time.
John E. Roberts - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Mr. Nils Wallin of CLSA. Sir, your line is now open.
Nils-Bertil Wallin - CLSA Americas LLC: Good morning. And thanks for taking my question. Regarding Olefins Americas, it appeared that your benchmark realizations, polyethylene and polypropylene spreads and ethylene was a little bit less than what you guys had done last quarter. Yet of course raw materials were down even more. So I was wondering if you would be able to tell us what caused a lower realization on the benchmark?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Hey good morning, Nils. It's just mix effects. I don't think there's anything specific in terms of the change from quarter to quarter. It could be product mix. It's export versus domestic sales. Those kind of things.
Douglas J. Pike - Vice President, Investor Relations: And, Nils, this is Doug. I mean you also have to remember that benchmarks are put in place when the price increase is announced and accepted. And reality, the industry always has contracts in times where it kind of comes in over a little bit more time. So what you've probably seen is the benchmark overstating things a little bit, that's all. Not uncommon at all. It's sort of the standard thing.
Nils-Bertil Wallin - CLSA Americas LLC: Sure, sure. Now with respect to sort of the high-cost producer in Asia, we obviously – Brent has come off significantly. And yet you have certainly had a fair number of outages in Asia and Europe that helped the prices stay elevated. Would you care to opine as to once this capacity comes online with this lower level of Brent, what type of price pressure you might see out in Asia?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Again I think it's – in fact, Nils, I think it's difficult to assess exactly how that will go. But it's not – first of all it's not a large amount of capacity. It may or may not start up on time. Again our sense is that global operating rates are north of 90% or around 90%. So I don't think it'll have a tremendous impact on global markets.
Nils-Bertil Wallin - CLSA Americas LLC: Great. And just one final one if I may. And we've seen kind of polypropylene margins rise both in U.S. and Europe. I know there's probably some changes in the contracts. But are we at a fundamentally different level for polypropylene margins? Or are we in a period of where they're perhaps overrunning due to outages?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Polypropylene demand has grown more than polyethylene demand this year globally. So it has been quite strong. Part of that is because polypropylene price and polyethylene price have come relatively closer together. So there could be a bit of product substitution on the incremental growth, and that occurs year over year. In the U.S. specifically with propylene price dropping and firm polypropylene markets, they do have a bit of margin expansion in polypropylene. Will that persist? Again polypropylene here has been underinvested. So as demand rises we reach operating rate environment where operating rates are north of 90%, and propane is cheap. So as long as that continues then I would say polypropylene margins are probably in a different regime than they were in the past.
Nils-Bertil Wallin - CLSA Americas LLC: Got it. Thanks very much.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Thank you.
Operator: Thank you. And our last question comes from the line of Mr. Laurence Alexander of Jefferies. Sir, your line is now open.
Laurence Alexander - Jefferies LLC: Good morning. I have two quick ones. Can you just remind us on how much of a EBITDA tailwind you had from the advantaged feedstocks in Europe? And secondly, given the 5-year view of fairly tight operating conditions why not from – why – can you clarify why not frontloading the CapEx to bring on capacity more quickly to take advantage of that?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: So on the value of the advantaged feedstocks. In Q3 there was about $50 million of tailwind. In terms of CapEx we're executing at a very high rate right now in our growth plan. So truly about prioritization, how much can we get done? And so on. But I can tell you that we're executing at a fairly high level on capital this year. And the coming years will be very active for us. So our priority remains on U.S. expansions in cracker debottlenecks and in polyethylene.
Laurence Alexander - Jefferies LLC: Okay. Thank you.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: If we have no further questions, then I want say thank you for your questions and let me close with a few remarks. First, we delivered record results in Q2. And we delivered our fifth consecutive quarter with EBITDA of $2 billion. Our priorities remain consistent. We're focused on safe, reliable, cost efficient operations. We aim to deliver relative outperformance in any market environment. We're continuing to execute on our growth program. As I've mentioned we just started up our Channelview debottleneck. We have Corpus Christi next year. We have another Channelview debottleneck and polyethylene expansions coming. From a shareholder perspective we remain committed to return value to shareholders by way of our next 10% share repurchase program. We expect to execute that over the next 10 months to 14 months. And our strategy and focus continue to prove very resilient in any market environment. So thank you for your interest in our company. And we'll speak with you again at the next call.
Operator: Thank you. And that concludes today's conference. Thank you all for participating. You may now disconnect.